Operator: Good morning ladies and gentlemen, and welcome to the Teleflex Q4 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call will be recorded. I would now like to introduce your host for today's conference, Mr. Jake Elguicze, Treasurer and Vice President of Investor Relations. You may begin.
Jake Elguicze - Teleflex, Inc.: Thank you, operator and good morning, everyone and welcome to the Teleflex Inc. fourth quarter 2016 earnings conference call. The press release and slides to accompany this call are available on our website at www.teleflex.com. As a reminder, this call will be available on our website, and a replay will be available by dialing 855-859-2056, or for international calls, 404-537-3406, passcode, 65576607. Participating on today's call are Benson Smith, Chairman and Chief Executive Officer; Liam Kelly, President and Chief Operating Officer; and Thomas Powell, Executive Vice President and Chief Financial Officer. Benson, Liam and Tom will provide prepared remarks, and then we'll open up the call to Q&A. Before we begin, I'd like to remind you that some of the matters discussed in the conference call will contain forward-looking statements regarding future events as outlined in our slides. We wish to caution you that such statements are, in fact, forward-looking in nature and are subject to risks and uncertainties, and actual events or results may differ materially. The factors that could cause actual results or events to differ materially include, but are not limited to factors made in our press release today, as well as our filing with the SEC, including our Form 10-K, which can be accessed on our website. With that said, I'd like to now turn the call over to Benson.
Benson F. Smith - Teleflex, Inc.: Thank you, Jake and good morning, everyone. To begin, I'd like to start the call by saying that we are quite pleased with our financial performance during the fourth quarter as our business rebounded nicely from Q3 and we achieved results that exceeded the high-end of our most recently provided constant currency revenue growth and cash flow from operations guidance ranges, while achieving adjusted earnings per share at the top of our most recently provided guidance range. In fact, during the fourth quarter, we saw a stabilization in our end markets and at 6.9% generated our highest constant currency revenue growth since the fourth quarter of last year. And this was no small feat as the fourth quarter of 2015 was a huge quarter for Teleflex and presented us with a very difficult comparable. Strong constant currency revenue growth rates were achieved within each of our product areas and geographies, and that even includes Latin America, which has faced significant headwinds leading up to this most recent quarter. As we exit the year, thanks in part to the investments we have been making in our product portfolio, I feel confident about the state of our base business and believe that we are well-positioned to build upon our base business constant currency revenue performance in 2017. Turning to profitability, during the fourth quarter we generated adjusted operating margin of 25%, which was up 130 basis points versus Q4 2015, at an all-time high, and adjusted earnings per share reaching $2.13. While from a full year perspective, we were able to leverage as reported revenue growth of 3.2% into adjusted earnings per share of $7.34, an increase of 16% as compared to 2015. And similar to my comments regarding revenue, we see 2017 as yet another year in which Teleflex can leverage its base business income statement through a combination of revenue and non-revenue dependent actions, further expanding adjusted gross margins and operating margins as well as adjusted earnings per share. All of my comments regarding our base business will be aided greatly by the recently completed acquisition of Vascular Solutions. We are excited to close this transaction earlier than we initially anticipated, which will allow us to begin integration activities sooner and we'll realize approximately 10.5 months worth of contribution from Vascular Solutions' high growth and high margin product offerings in 2017. I'd like to take this opportunity to welcome the employees of Vascular Solutions into the Teleflex family. We are certainly looking forward to the contributions you will make in the future. And before I turn the call over to Liam, I would like to briefly discuss an announcement that we made this morning regarding my future at Teleflex. Earlier today, we issued a press release announcing my intention to retire as Chief Executive Officer effective December 31, 2017. I've had the pleasure to serve as Teleflex Board member since 2005 and as the Company's CEO since 2011. During my time as CEO, we accomplished a great deal, completing the transformation of a once slow growth, multi-industry company into a pure play medical device company capable of consistent annual revenue growth and significant margin expansion. And as I look ahead, I feel that the end of 2017 is the right time for me to retire as CEO. Our product portfolio is the most robust it's ever been with several products launching that has significant market potential. Our market expansion initiatives are well underway – our margin expansion initiatives rather are well underway and the company has the ability to expand gross and operating margins for several years to come. And the integration of Vascular Solutions will be well underway by the end of this year. I also feel that the management bench strength at Teleflex is very deep, led by the man who will take my place as CEO, Liam Kelly. Liam has been instrumental in the success that Teleflex has had over the past six years and I am pleased that he will succeed me. That being said, Liam, you won't be able to get rid of me that easily as I do plan on running for another three-year Board term with Teleflex. And if elected in May, I will continue to serve as Teleflex's Chairman of the Board. That completes my prepared remarks. At this time, I would like to turn the call over to Liam.
Liam Kelly - Teleflex, Inc.: Thank you, Benson and good morning, everyone. I greatly appreciate the confidence that you and the Board have in me and I look forward to continuing to execute upon our strategy in the years to come. Turning now to a review of the quarter. As we have been saying for the past several months, we expected distributor ordering patterns to normalize as we moved through 2016, and I'm pleased to report that this occurred as we exited the year. In fact, we saw robust distributor orders in conjunction with an uptick in a flu season whose severity was ahead of 2015 levels and represents a more normalized flu season. This, combined with stronger new product sales and share gains led to our fourth quarter 2016 constant currency revenue growth of 6.9%. This was also aided in part by the one additional selling day we had in quarter four, which we estimate contributed approximately 1%. The primary driver of revenue growth this quarter came from increased sales volume of existing products, which contributed approximately 4.5%. We experienced positive constant currency existing product growth across all our product areas. However, it was largest within our OEM, EMEA, vascular, and anesthesia franchises. Moving to new products. The positive revenue contribution trend we have seen for the past several quarters once again continued in quarter four, this time contributing approximately 1.6% of constant currency growth. This represents the highest constant currency revenue growth contribution stemming from new products yet; acquisitions as well for 2017, as many products which were launched during 2016 are gaining traction. From a geographic perspective, new product revenue growth was again led by our North American businesses. While from a product line standpoint, new product sales were particularly strong within our surgical, vascular, and anesthesia product lines. Surgical new product sales were driven by increased utilization of products used in robotic procedures, further penetration of our EFx offering, as well as an increase in the amount of percutaneous laparoscopy products sold such as Percuvance and MiniLap. Vascular new product revenues increases were attributed to sales of our preloaded antimicrobial and antithrombogenic VPS PICCs. While in anesthesia, the growth is primarily due to increased sales of our LMA Unique products with silicone and the Rusch Trulite laryngoscope. The next largest driver of revenue growth in the quarter was the contribution from acquisitions, which increased 0.4% versus the prior year. This is primarily due to a small OEM acquisition that we made in the third quarter. And finally, during quarter four, we saw another nice uptick in the average selling price of our products, which drove revenue higher by another 40 basis points. This was primarily due to increases in our Surgical and Asia reporting segments. Next, I would like to provide some additional color surrounding our segments and product-related constant currency revenue growth drivers. Vascular North America fourth quarter revenue increased 5.9% to $95.7 million. The increase in vascular revenue was largely due to sales of Vidacare EZ-IO and OnControl devices as well as increased CVC sales. Moving to Anesthesia North America, fourth quarter revenue was $54.9 million, up 8.5% versus the prior year period. Growth in this segment was driven by increased sales of Vidacare EZ-IO, atomization, and airway management devices. And because I know the investment community continues to be interested in this statistic, the Vidacare product line continues to perform exceedingly well, growing approximately 22% globally on a constant currency basis during the quarter. The performance in quarter four resulted in global Vidacare revenue growth of approximately 21% for the full year. Turning to our Surgical North America business, its revenue increased a healthy 12.2% to $48.3 million. The increase within Surgical is primarily attributable to higher sales of access ports, chest drainage products, and polymer ligation clips. Shifting to our overseas businesses, EMEA revenues continue their positive trajectory expanding 3% on a constant currency basis to $135.7 million. The improvement in European revenue was largely the result of increased urology, interventional, vascular, and respiratory product sales. The growth in the region was somewhat offset by lower sales of cardiac products as we continue to work through a back order in that product category. Moving to Asia. Our fourth quarter revenue increased 5.4% to $73 million. This includes China growth, which exceeded 5% in the quarter. China continues to be an important area of growth for Teleflex, and we have decided to permanently exit our relationship with our former master distributor of vascular and cardiac products in China and instead distribute these products through alternative third-party sub-distributors. And while Tom will take you through the financial impacts this will have on our 2017 results in a few moments, I'd like to point out, while this initiative may be slightly dilutive to our 2017 revenue and adjusted earnings per share as our former distributor sells through its remaining inventory and we increase our direct sales presence in the area, we believe this move will allow us to improve margins, get closer to the end users of our products, and gain better control of the sales channel. Turning to OEM, during the fourth quarter, revenue increased 20% to $45.3 million and was primarily due to higher sales of catheters and performance fiber products, as well as a small acquisition closed in late quarter three. And lastly, fourth quarter revenue for the businesses within our All Other category was up 5.5%, totaling $61 million. Growth here is primarily attributable to sales of additional respiratory therapy products, as well as a return to positive growth within our Latin American business. Next, I would like to briefly update you on additional GPO and IDN agreements that we received during the quarter, as well as some recently received regulatory approvals. During the fourth quarter, we won four new agreements and extended another 18. Of the agreements won and extended in quarter four, eight were sole source in nature and cover a variety of clinical areas including our laryngeal masks, laryngoscopes, humidification, CVCs, PICCs, and arterial product offerings. While on a full year basis we won a total of 105 agreements, 50 of which were brand new awards and 59 of which were sole source awards. Similar to my comments regarding the positive trends that we've seen, as we progress through the year in terms of new product revenue contributing to our constant currency revenue growth rate, the GPO and IDN awards that were won in 2016 will position us nicely in 2017 and beyond. Moving next to regulatory approvals. During the quarter, we received 510(k) clearance for the Arrow VPS Rhythm device and Optional TipTracker Technology. This device expands Teleflex's Catheter Tip Navigation and Placement portfolio to now include familiar ECG-only technology for the elimination of confirmatory chest X-ray. This device may be used with a broad range of catheter types and brands and when paired with a single-use TipTracker Stylet for insertion of PICC catheters, the Arrow VPS Rhythm device provides real-time visual navigation. In addition to VPS Rhythm, we also launched the LMA Gastro Airway with Cuff Pilot Technology. LMA and Teleflex were pioneers in the laryngeal mask space and this product is no different as it is the first laryngeal mask designed specifically to facilitate esophageal access and promote airway control during endoscopic procedures. It also features a cuff pressure indicator that constantly monitors cuff pressure, detecting changes resulting from fluctuations in temperature, nitrous oxide levels and movements within the airway. In addition, it also has an integral pipe block to reduce the potential for damage to the endoscope, helping to avoid costly repairs. And it is exactly products like these two that I just mentioned that will allow Teleflex to continue to expand the revenue growth that we generate coming from new product introductions. As this chart depicts, since 2013, we've introduced 88 new products and line extensions to the market. This includes 25 in 2016 alone. And in many cases, it takes time for new products to gain traction in the marketplace. Since 2014 when we generated 0.9% of revenue growth from new product introductions, we've seen an acceleration in total company constant currency revenue growth stemming from new products reaching 1.3% in 2016. This revenue growth is predominantly being driven by the North American market where we typically launch a product first. Within North America, new product revenue growth has accelerated from 0.4% in 2014 to 2% in 2016. And if there was anything that we learnt from 2016, it was that when planning for new product revenue growth contributions we need to take into account the time that hospital value analysis committees can take as part of the process. As such, despite the fact that revenue growth within North America expanded significantly from 2015 to 2016, we are taking a more conservative approach when setting the revenue growth rate associated with new products that comprise our 2017 constant currency revenue guidance range. During 2017, we expect additional new product revenue growth to be driven by the likes of Percutaneous solutions, including Percuvance and MiniLap, the VPS Chlorag +ard Plus, the VPS Rhythm, the AutoCAT 3 (17:34) and the LMA Protector, just to name a few. And finally, before I turn the call over to Tom, I would like to share with you some thoughts on the recently completed acquisition of Vascular Solutions. On Friday, February 17th, we completed the acquisition of Vascular Solutions, and as Benson said earlier, we did so ahead of our initial expectations. We are extremely pleased to have acquired Vascular Solutions as it represents a significant step forward in our strategy. Vascular Solutions is a truly unique company with differentiated technologies that serve the coronary and peripheral vascular markets. And we see this acquisition as very complementary. The combination of Vascular Solutions and Teleflex significantly advances our offering of vascular and interventional solutions as we are adding over 90 proprietary products and services that are sold to interventional cardiologists, radiologists, electrophysiologists and vein specialists. Combined, the new company will offer more than 150 cardiac vascular and interventional products globally. This acquisition also accelerate Teleflex's sales growth trajectory and provides a significant sales channel opportunity. As we said back in December when we announced the transaction, Vascular Solutions have consistently generated greater than 10% revenue growth per year over the last decade, and this acquisition positions Teleflex to have a larger presence in fast growing markets. In addition, we expect to capitalize on Teleflex's significant international infrastructure to drive further penetration outside of the U.S. of Vascular Solutions' products. Another reason we are excited about acquiring Vascular Solutions is its robust R&D pipeline. These products are differentiated, high growth and high margin products that have demonstrable clinical benefits that address complex interventions, radial artery catheterizations and embolization procedures, all areas of clinical practice that Teleflex knows a lot about. And finally, this acquisitions has compelling financial profile that substantially improves Teleflex's revenue growth, margins, earnings, and cash flow generation capabilities for the years to come. We expect that this transaction will contribute between 8.5% to 9% of constant currency revenue growth during 2017 and that it will be accretive to adjusted earnings per share in 2017 by $0.20 to $0.25. This includes the impact of incremental interest expense associated with financing the transaction. Importantly, this transaction meets all of the M&A objectives we've been talking about for the last several years, which include: a product portfolio that fits into our existing strategic business unit franchise and call points, thereby allowing for a synergy generation; products that provide a superior clinical benefit to existing alternatives and a cost benefit to hospitals; long product lifecycles that benefit from patent protection; and the ability to further improve our financial profile. This acquisition also bolsters our leadership and management team with the additions of key members of the Vascular Solutions leadership team, who will be instrumental in continuing to drive the business forward. That takes me to the end of my prepared remarks. At this time, I would like to turn the call over to Tom for him to review our financial results for the fourth quarter and to provide our initial guidance for 2017. Tom?
Thomas E. Powell - Teleflex, Inc.: Thanks, Liam and good morning, everyone. Given the previous discussion of the company's revenue growth drivers, I'll begin my prepared remarks with gross profit. But before I do, I'd like to reinforce the point that Teleflex delivered very solid 2016 financial result despite softer than expected revenue growth. For the year, we grew adjusted net income by over 18% and cash flow from operations increased by 35%. We also achieved or exceeded each of the non-revenue financial metrics outlined at the beginning of the year. The combination of manufacturing productivity programs, mix management and pricing increased the gross margin by 140 basis points to 54.1%. Tight control over OpEx spending and the deferral of the medical device tax provided for an increase to the operating margin of 260 basis points to 24.1%. We attribute approximately 70 basis points of the increase to the deferral of the medical device tax. Strong financial results allowed us to raise adjusted EPS guidance on three occasions throughout the year with full-year EPS of $7.34 coming in at the upper end of our most recently provided guidance range. Finally, during 2016 we announced two additional restructuring programs that will yield further savings beginning in 2017. Turning now to fourth quarter results. For the quarter, adjusted gross profit was $276.7 million versus $262.2 million in the prior year quarter. Adjusted gross margin was 53.8%, representing a 30 basis point decrease when compared to the prior year period. For the quarter, we realized benefits from new products, pricing and manufacturing productivity initiatives. However, unfavorable foreign exchange rates reduced gross margin by approximately 70 basis points. Adjusted operating margin improved by 130 basis points to 25%. The year-over-year improvement was largely the outcome of continued tight control of discretionary overhead spending and the deferral of the medical device excise tax. Foreign currency had an unfavorable impact of approximately 50 basis points. Adjusted income from continuing operations before interest and taxes increased by 11.9% in the fourth quarter. For the quarter, adjusted net interest expense increased to approximately $11.7 million from $10.2 million, reflecting the impact of the issuance of the 4 7/8 senior unsecured notes last May. Also in the quarter, the adjusted tax rate was 16.5% versus 13.6% in the prior year quarter. On the bottom line, fourth quarter adjusted earnings per share was $2.13, or an increase of 6%. The rate of increase versus 2015 was dampened by a tough tax rate comparable, the increase in interest expense and unfavorable foreign exchange. Turning now to select balance sheet and cash flow highlights. For the year, cash provided by operations was $411 million or an increase of 35% over the prior year. The increase was primarily the outcome of improved operating results, improved working capital management and reduction in tax payments. At year-end, cash on hand totaled approximately $544 million and pre Vascular Solutions leverage stood at approximately 2 times. If you were to pro forma the Vascular Solutions acquisition into our results, our Q4 leverage ratio would have been approximately 3.57 times. That completes my comments on 2016. Now I'll move to 2017 guidance. Beginning with revenue, for 2017, we expect constant currency revenue growth of between 12.5% and 14%. Included in our revenue guidance is the assumption that our base business grows between 4% and 5% on a constant currency basis. Base business constant currency revenue growth is expected to be driven by a core product volume increase of between 1.8% and 2.4%. New products are expected to deliver between 1.4% and 1.6% of growth. This compares to growth of 1.3% in 2016. Net pricing in our core business is expected to be up year-over-year by 50 basis points to 60 basis points. The improvements are primarily due to our decision to eliminate our former master distributor in China, coupled with modest pricing improvement on existing products. For the base business, we project previously completed M&A to contribute between 30 basis points and 40 basis points of revenue growth in 2017. This is comprised solely of the OEM acquisition that was completed last September. Finally, it is our expectation that Vascular Solutions will contribute between 8.5% and 9% of total constant currency revenue growth. This represents Teleflex owning Vascular Solutions for approximately 10.5 months during 2017. Given its track record of consistently growing annual revenues 10% or more, we anticipate that when Vascular Solutions rolls into our organic growth statistics, it could add approximately 1% per year towards Teleflex's overall revenue growth rates. Lastly, our assumption is that FX will create a 2.5% headwind, and as a result, we expect as reported revenue to increase by 10% to 11.5%. Based on our currency assumptions, this translates to an as reported revenue range of $2.055 billion to $2.083 billion. The stronger U.S. dollar relative to the euro is the primary driver of the 2.5% foreign exchange headwind impacting our as reported revenue in 2017. And for 2017 planning purposes, we assumed a euro to U.S dollar exchange rate of $1.04, which closely approximates today's spot rate. Turning next to gross margin. For 2017, we expect to be able to continue the positive momentum that we've had over the past several years when it comes to the expansion of our adjusted gross margin. During 2017, we anticipate that adjusted gross margin will increase other 130 basis points to 190 basis points to a range of 55.4% to 56%. These gains are expected to be primarily driven by annual cost improvement programs, benefits from our previously announced 2014 and 2016 restructuring programs, favorable product mix, improved pricing, and the acquisition of Vascular Solutions. Of the expected 130 basis points to 190 basis points of annual margin gain, approximately 100 basis points to 140 basis points is attributed to the Teleflex base business, while Vascular Solutions is expected to add between 30 basis points and 50 basis points. Gains in this area will be somewhat offset by the negative impact from FX, which we estimate to be approximately 30 basis points. Moving to adjusted operating margin. We anticipate that our adjusted operating margins will increase by approximately 150 basis points to 220 basis points to a range of between 25.6% and 26.3% in 2017. Gains from gross margins will be the principal driver of the increase. However, we will look to further accelerate those gains through a combination of SG&A cost control programs and the restructuring program announced in September of 2016 that had a focus on operating expense savings. These actions will provide improved flow-through from gross margin to operating margin, while also providing us flexibility to further invest in R&D initiatives in both our Vascular and Surgical businesses, as well as to selectively invest in sales force capabilities to support the introductions of new products and the China Go-Direct. Of the expected 150 basis points to 220 basis points from adjusted operating margin gains, approximately 110 basis points to 170 basis points is being sourced by the Teleflex base business, while Vascular Solutions is expected to add between 40 basis points to 50 basis points. Finally, similar to gross margin is our expectation that FX will be a headwind of approximately 30 basis points on the operating margin line. That takes me to our preliminary adjusted earnings per share outlook for 2017. This slide serves as a bridge from our full year 2016 adjusted EPS to our full year 2017 adjusted EPS outlook. Beginning with 2016 adjusted EPS of $7.34. From an operating standpoint, in 2017 we project our base business will add approximately $1.12 per share to $1.17 per share or a growth of approximately 15% to 16%. Inherent in this earnings range is the expectation that our 2017 base business adjusted tax rate will be in the range of 16.5% and 17.5%. 20 basis points of the improvement in the tax rate versus 2016 can be attributed to the new accounting treatment for excess (30:37) tax benefits and stock plan. In arriving at the 20 basis point rate impact, we have only considered divesting of restricted stock, as all of the factors necessary to value the windfall benefit from stock options are not easily determined in advance. And we will provide transparency on this item during the course of the year. The balance of the improvement in our tax rate is the result of a combination of benefits we saw in our fourth quarter earnings mix that we expect to continue into 2017, and distinct sustainable planning opportunities that we have identified. Of note, we expect that the inclusion of Vascular Solutions will increase the consolidated Teleflex 2017 adjusted tax rate by 50 basis points to a range of 17% to 18%. Moving to the next item. In 2017, we have plans to eliminate our master distributor of vascular and cardiac products in China, which will create a transition year earnings headwind of $0.12 to $0.15. Next, as a result of the 4-7/8 senior unsecured note offering concluded May of 2016, interest expense on the core Teleflex operations is expected to be a headwind of between $0.08 and $0.09. Moving on to share count. Our current estimate is for adjusted weighted average shares to increase to approximately 46.3 million to 46.4 million for the full year of 2017. As a result of the share increase, our earnings per share growth will be reduced by an estimated $0.11 per share to $0.12 per share. And turning to FX, based on our current estimates, we expect foreign exchange will create an adjusted earnings per share headwind of approximately $0.30. And finally, we expect Vascular Solutions acquisition to contribute between $0.20 and $0.25 of adjusted earnings per share for 2017. This earnings range assumes the full interest expense burden of financing the transaction at an average rate of approximately 4.2%. In aggregate, our outlook for 2017 adjusted earnings per share is $8 to $8.15, representing growth of between 9% and 11% versus 2016. And while it is not our practice to provide specific quarterly guidance, I did want to highlight some considerations regarding variability between our 2017 quarterly expectations. Overall, we expect revenue growth rates will be high in Q1, largely due to the first quarter having five additional shipping days as compared to the prior year period and the partial quarter addition of Vascular Solutions. We estimate the five additional days will increase revenue growth by approximately 5%. We will then have one fewer selling day in the second quarter and five fewer selling days in the fourth quarter. Overall, we will have one fewer selling day in 2017 as compared to 2016. With that being said, despite the five additional selling days in Q1, we expect the first quarter of the year to be lowest in terms of actual dollar amount of revenue reported. In part, this is due to the fact that we have only a partial quarter of Vascular Solutions revenue in our results. As we move throughout the remainder of the year, we anticipate that revenue dollars grow substantially from Q1 to Q2, reduce slightly from Q2 to Q3 thanks to the normal European slowdowns, and then accelerate again from Q3 to Q4. While from an adjusted earnings per share standpoint, for 2017, we expect the quarterly EPS seasonalization to closely approximate the seasonalization of EPS we experienced in 2016. And that concludes my prepared remarks. At this time, I'd like to turn the call back over to the operator for questions. Operator?
Operator: Thank you. And our first question comes from Larry Keusch with Raymond James. Your line is open.
Lawrence Keusch - Raymond James & Associates, Inc.: Okay. Thanks. Good morning, everyone.
Benson F. Smith - Teleflex, Inc.: Good morning, Larry.
Liam Kelly - Teleflex, Inc.: Good morning, Larry.
Lawrence Keusch - Raymond James & Associates, Inc.: So, I just – two questions for you. I'm just wondering if you can come back a little bit to the 4% to 5% organic growth. And again, just help us think through what kind of are the drivers of that growth rate, just given some of the challenges that you had in 2016 achieving your initial outlook?
Liam Kelly - Teleflex, Inc.: Okay, Larry. Liam here. I'll take that one. So, as we outlined in the call, from a volume perspective 1.8% to 2.4%. We're accelerating new products from the 1.3% that we finished 2016 to a 1.4% to 1.6% range. And as we said during the call, we see that being somewhat conservative, but we are contemplating that we will get through these value analysis committees, in particular with products that we launch during 2016. We have accretion on our pricing from 0.4% in 2016 to the range of 0.5% to 0.6%. That's being driven by a positive base pricing, but also with the action that we're taking with our China distributor adding some pricing there. And of course, CarTika adds 30 basis points to 40 basis points. A few macro impacts – and of course Vascular Solutions then on top of that to go from 4% to 5% to 12.5% to 14% on a constant currency basis. Then there are a few macro factors. So the headwinds that we saw as we said previously within Latin America, we expected that to be behind us as we entered quarter four. And I am happy to report, Larry, that Latin America had a robust quarter four, growing in the region of about 8%. We also anticipate a recovery in EMEA in – next year. On a full-year basis this year, EMEA grew by about 1.1%, Larry, and in the latter half of the year in quarter three, EMEA grew by over 2% and with an extra billing day in Q4 grew by 3%. So, we've a reasonable trajectory within EMEA to get us there. And of course, our key North American market, Larry, we expect to see robust growth as we have seen, aided by those new products that I mentioned earlier.
Lawrence Keusch - Raymond James & Associates, Inc.: Okay. That's perfect. And then, just one other one for Tom. I think I caught this correctly in the release, but it looks like there was an impairment charge for Semprus, I believe which was in the fourth quarter. So, is that correct, and if it is, if you could just take me through what the deal was there?
Thomas E. Powell - Teleflex, Inc.: Okay. So, that is correct. So, the financial impact is an impairment charge offset by a deferred tax liability. Those two net to about $26 million. We also then reduced contingent consideration payment as well. Kind of the background there is, Teleflex as a company is always working on a number of products. In this case, looking for coatings that will reduce antithrombogenic and have antimicrobial properties. What we found, Larry, is that – we've got other technologies in our portfolio that are showing a lot of promise on both of those fronts. Semprus was more focused on the antithrombogenic. And so we made the decision to focus our resources on that – another coating technology that we think shows more promise. And so, that's kind of the background on the decision.
Liam Kelly - Teleflex, Inc.: And I'll just add to that a little bit Larry that hospitals are now being penalized for the last 18 months on their infection scores on PICCs, and we believe that as Tom said, an antithrombogenic and an antimicrobial solution is really where the market is moving. And we have some better solutions that we're working on internally that addresses both. Semprus was clearly an anti-adherence technology, so therefore had an impact on thrombus, but not on infection rate colonization.
Lawrence Keusch - Raymond James & Associates, Inc.: And when – just lastly, when could we potentially see any new product introductions with the newer technology that you are referencing?
Liam Kelly - Teleflex, Inc.: So, we are working on some technologies that will be slated for a 2019-2020 release at this stage, Larry.
Lawrence Keusch - Raymond James & Associates, Inc.: Okay. Perfect. Thanks, guys. Appreciate it.
Operator: Thank you. And our next question comes from Dave Turkaly with JMP Securities. Your line is open.
David L. Turkaly - JMP Securities LLC: Thanks. And congrats, Liam. And Benson, I know you are staying around, but I think we knew this was eventually going to occur. I guess just at a high level, I'd love to just kind of get your thoughts on sort of the margin expansion story that we've seen over the last several years. And obviously, we see the guidance for 2017, but should we still anticipate that you might be able to do 100 basis points to 200 basis points moving forward. And sort of any color you could give us on sort of long-term gross or operating margin levels, now that you have Vascular Solutions in the portfolio as well.
Benson F. Smith - Teleflex, Inc.: So we have consistently presented that 350 basis points to 400 basis points as a conservative goal for the end of 2018. As you know, we did not include the potential margin improvement from acquisitions such as Vascular Solutions in that total, now did we include our China Go-Direct program in that. So I would say that of the view we would give it to (41:05) that is, is that those two events would be additive to that 350 basis points to 400 basis points goal. Our current thinking at this point, given the fact that that 350 basis points to 400 basis points contains a number of different programs is to have an Analyst Meeting sometime during the course of this year. I think September now is looking like the most likely date where we can go into more details and I think give you a much more definitive viewpoint in terms of what 2018 is really going to look like. But at this point the assumption you should be making is that those two elements are additive. And at that point also I think we want to go beyond what 2018 is going to look like and give you a couple years forward moving picture as well, because just including the various programs we have, many of them won't have been completed by 2018. But I would say, our margin expansion remains a very, very strong opportunity for us for the next three years to four years.
David L. Turkaly - JMP Securities LLC: Great. And then just one quick follow-up. I know the Penn medical deal was not a large one, but just curious as to how that kind of fits in with Vidacare. I know it grew well in the quarter. But is it similar, is it complementary, or how exactly will those two – how would you sell those two in the market?
Liam Kelly - Teleflex, Inc.: So it's quite complementary and it actually brings a broader range of portfolio of products as well. So Penn commercializes trauma and resuscitation products as well as frontline (42:41) products. They are the I think Enteropathy's (42:46) product of choice predominantly with the military. We also have a strong relationship with the military, but this just adds an additional portfolio to Teleflex. We don't expect it to have a significant impact on revenue or earnings during 2017, but it also brings some valuable IP that will help to support the EZ-IO product into the future. And I would say, David, is it still needs shareholder approval before it closes, so just bear that in mind.
David L. Turkaly - JMP Securities LLC: Great. Thanks a lot.
Operator: Thank you. And our next question comes from Brooks West with Piper Jaffray. Your line is open.
Brooks E. West - Piper Jaffray & Co.: Hi, can you hear me?
Benson F. Smith - Teleflex, Inc.: We can, Brooks. Good morning.
Brooks E. West - Piper Jaffray & Co.: Great. Good morning, and congratulations to you Benson and Liam, both. I wanted to start with China if I could. You gave some good detail on the earnings impact. And I'm wondering if you could quantify any revenue impact with that transition that we should expect in 2017? And then, is this something that you can do in a year or is this something that is going to linger on for some time? And I guess, last question there is, just if can you give us a sense of the scale of your China business?
Liam Kelly - Teleflex, Inc.: Okay. So there is a lot in there, Brooks. It's Liam here, so I'll try and grab them one at a time. So the distributor will sell through what inventory did they have during the year. It will have an impact on our revenue line. At the moment, we estimate that to about 30 basis points, which is included within our volume guidance that we gave. The impact thereafter, it becomes accretive in 2018, 2019 and 2020. During 2017, you will also see that we have additional pricing as a result of this. So we lose volume, we lose earnings, but we do pick up some modest pricing in the region of about, let's call it at 30 basis point or 40 basis points of additional pricing as a result of this. So we anticipate that as the distributor sells through their inventory, we will put in our sales organization into the Chinese market. Our overall business in Asia is – or in China is in the region of about $85 million, Brooks, and this represents at (45:23) between $26 million and $30 million for Teleflex in 2016.
Brooks E. West - Piper Jaffray & Co.: Okay. So, thanks for that, Liam. And it sounds like you can execute this in one year and you're confident that this move becomes an accretive in 2018. Is that the way to think about it?
Liam Kelly - Teleflex, Inc.: That's the way to think about it. It will be accretive in 2018 and 2019, Brooks.
Brooks E. West - Piper Jaffray & Co.: Okay. Perfect. And then Tom, I have one for you, follow up, just on gross margins this quarter. You mentioned FX was a headwind, but given – I think backing that out, you're a little bit light of our model. I'm just curious: is that product mix or can you currently help us understand Q4 and kind of, I guess bridging that into the improvement we should see in 2017? Thanks.
Thomas E. Powell - Teleflex, Inc.: Sure. So, the fourth quarter margin was on the lower side of what we've put up there. I think the biggest impact is we saw about a 70 basis point negative impact coming from FX throughout the – or I should say through the first three quarters of the year. We had seen some very moderate positive impacts on gross margin from currency, but the fourth quarter impact erased all those gains. So that was a big shift in the trend line. And then you also recall our decision to delay the transfer of the wet kits. We discussed this earlier in the year. That would have had an impact in the fourth quarter as well. And then in addition, there was some mix. We had unusually strong growth in our OEM respiratory business units as well as the Latin America region, and these collectively are our lowest margin region and business units. So, that was a mix impact as well. As we think about this going forward, obviously we thought about our longer term mix and have modeled that into 2017. In any quarter you can have peaks and valleys in product lines. We don't expect that these three product lines will necessarily cause a mix issue going forward for us. We'll have to see on the impact from currency. As mentioned in our guidance, we have anticipated there will be an FX impact, and that's in our assumptions. And we expect to be able to work through the wet kit transfer issue in the coming quarters and put that behind us. So I don't see this as really having a long-term impact for us as a result of these three items.
Brooks E. West - Piper Jaffray & Co.: Great. Thank you.
Operator: Thank you. And our next question comes from Matt Taylor with Barclays. Your line is now open.
Unknown Speaker: Hi. This is actually Ian (48:02) in for Matt. Can you hear me okay?
Benson F. Smith - Teleflex, Inc.: Yes.
Liam Kelly - Teleflex, Inc.: Hi, Ian, (48:07) we got you.
Unknown Speaker: Okay; great. I want to ask, on the acquisition of Vascular Solutions, what is the blue sky scenario? In other words, what are the things that could go better than expected that could lead to upside from the scenario you laid out?
Liam Kelly - Teleflex, Inc.: So it's Liam here, Ian (48:25). So Vascular Solutions have traditionally been quite aggressive with product launches. You will see that they just launched the TrapLiner which is an extension of their core GuideLiner product. So of their, call it, $170 million a year, about $50 million comes from this GuideLiner product. The TrackLiner was initially thought to cannibalize a larger portion of the GuideLiner. Having done some of the clinical work in Canada and in Europe, the feedback from the clinicians is that it will be used more in conjunction with the GuideLiner, so the cannibalization rates will be slightly lower. So that's the potential for upside. In the longer term, if I stick with the new products theme, freeze-dried plasma could be a significant opportunity in the future. We have a strong military call point. This is a product that will be sold through that call point. The proposed deal we have with Ping (49:37) strengthens that call point into the military. So we think that will be accretive. And their top-line sales growth will be reinforced by our international channel, and we think that's the potential for some further upside perhaps in the future.
Unknown Speaker: Okay. That's helpful. I want to follow up with another question on the launch of Percuvance. Do you have a little bit more detail there just in terms of – at this stage, what the feedback has been like and how it is progressing through the value analysis committees?
Liam Kelly - Teleflex, Inc.: So, again, the feedback is resoundingly positive. We have put the product portfolio of Percutaneous Solutions, which is Percuvance and MiniLap, into the hands of our full sales force now and put more resources behind this. In the U.S., we have 24 hospitals using it of 36 that have been through the VAC through quarter four, which is a 68% hit rate, which is consistent with our success rate going through VAC. We have 35 trials ongoing in North America and 60 ongoing globally. We're still very enthusiastic about the product. Feedback from the customers and surgeons continues to be resoundingly positive, and we're just working through the Value Analysis Committees through this year and what we expect to see as we get through those is the revenue to ramp through the year and to have more of an impact in 2018.
Unknown Speaker: Great. Thank you.
Operator: Thank you. And our next question comes from Anthony Petrone with Jefferies. Your line is open.
Anthony Petrone - Jefferies LLC: Thanks and good morning. Congratulations also – Liam and Benson, congratulations to you both. Just a couple questions on Vascular Solutions and then a follow-up maybe on tax. The $0.20 to $0.25 for 2017, I am just wondering with the margin profile on those revenues are considered in that guidance and what percentage of the $40 million to $45 million target by 2019 in cost synergies is baked into that number?
Liam Kelly - Teleflex, Inc.: So, I'll cover the margin side of it first. So, it's accretive to our overall margins. Now, there will be some adjustments as we walk through Vascular Solutions. They count certain expenses below the line that we would account in gross margin. But their gross margins have been in the 66% range as they have reported them. From the point of view of synergies, clearly we just closed this a week ago. We're working through that. Clearly, we have a plan there, but we don't anticipate significant synergies in 2017, but obviously that will ramp as we get through 2018 and 2019 and I think we are pretty consistent by 2019, we will generate between $40 million and $45 million in synergies from this transaction.
Anthony Petrone - Jefferies LLC: Great. And then a follow up just on Vascular Solutions would be, if we look at the growth profile prior to the deal being announced, the Turnpike catheters within their portfolio were really experiencing hyper growth. And I am just wondering where that product cycle is, how long do you expect that to sort of maintain at that level? And then the follow up for Tom on tax guidance would be, what is sort of baked in there for potential reform later this year, just given the proposals that we're seeing? And I guess, as of this morning they are expecting that to be presented before the August recess. So anything on tax guidance would be helpful.
Liam Kelly - Teleflex, Inc.: So, I'll address the Turnpike first (53:36) that's okay. So, the Turnpike product, we're very excited by it, we love the growth profile of it, we love the margin profile of the Turnpike product. The growth of the Turnpike in quarter four was almost 200%, albeit on a relatively small pace. We see this as an additional opportunity in the hands of Teleflex, because a lot of their distribution channel overseas – or some of their distribution channel overseas at least does not to sell the Turnpike, they sell the competitive product that they had taken onboard as a distributor would, prior to the launch of Turnpike. So we actually see the lifecycle of that in the early stages of lifecycle for the Turnpike with many years of accretive growth to come for Teleflex and accelerate this by what we can do with our channel overseas.
Thomas E. Powell - Teleflex, Inc.: And then on the tax rate, our approach and planning for 2017 was to develop our plan based on the prevailing or current tax builds (54:42) out there for the U.S. and abroad. We have not yet factored in any potential revisions, and so what we'll wait to do is, see what's actually coming out in terms of legislation. And once that becomes clear, we'll make an assessment of the impact and provide updates. But we thought it's premature right now to incorporate any conceptual proposals into the financial plans.
Benson F. Smith - Teleflex, Inc.: This is Benson. I spent a good bit of time in Washington two weeks ago, and I would say while there is a lot of enthusiasm to get something out there relative to tax reforms, there is still a lot of disagreement under the surface in terms of what that really looks like. So, I think the approach of wait and see is important. There can be a lot of negotiation between now and some final proposal.
Anthony Petrone - Jefferies LLC: That's helpful. Thank you.
Operator: Thank you. And our next question comes from Matt Mishan with KeyBanc. Your line is open.
Matthew Mishan - KeyBanc Capital Markets, Inc.: Hey. Good morning, everyone.
Benson F. Smith - Teleflex, Inc.: Hi.
Matthew Mishan - KeyBanc Capital Markets, Inc.: Just a follow up on the tax discussion. Tom, like in 2014, you were able to repatriate some cash following Vidacare. Do you think you still have the same opportunity to do that following Vascular Solutions? And then, how are you kind of balancing the need to issue high yield with potential tax reform?
Thomas E. Powell - Teleflex, Inc.: Well, that's something that we're obviously watching very closely. As we talked about, the whole Vascular Solutions acquisition, we initially funded that on a revolver and bank term loan, and we are going to opportunistically look to see if there is an opportunity to turn that out with high yield. Now, to the extent that either the current administration creates a repatriation opportunity or we are able to create one ourselves internally, would cause us to reassess that financing strategy, because obviously we have over $500 million of cash sitting O.U.S., and that could help us to delever and perhaps take an alternative path. But we're working through the whole question on repatriation I guess by ourselves, and we want to wait and see what happens with the current administration's plans on that. So, we are watching it closely obviously.
Matthew Mishan - KeyBanc Capital Markets, Inc.: Okay, perfect. And then I'm just trying to understand the sustainability of the North American surgical results. I think you have an expectation for a ramp in Percuvance. Are we talking like single-digit millions in 2017, or are we getting up to double-digit millions? And then could you remind us your exposure to the Intuitive robotics platform?
Liam Kelly - Teleflex, Inc.: Okay, so it's Liam here again. So within percutaneous, you have Percuvance and MiniLap. So they both address that category of percutaneous solution. We don't normally give specific guidance for individual product categories, but as I said earlier, we expect it to ramp and to be accretive to our new product revenues that we will ramp-up during 2017. On the Intuitive side, we do sell a range of products to Intuitive that – our trocars predominantly that are sold as part of their platform and that generates approximately 30 basis points to 40 basis points of growth – of revenue globally.
Benson F. Smith - Teleflex, Inc.: We don't see that, that growth would compromise the Percuvance opportunity in any significant way.
Liam Kelly - Teleflex, Inc.: Correct.
Matthew Mishan - KeyBanc Capital Markets, Inc.: All right. Thank you very much guys.
Liam Kelly - Teleflex, Inc.: Sure.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the call back to Mr. Jake Elguicze for any closing remarks.
Jake Elguicze - Teleflex, Inc.: Thanks, operator. And thanks everyone that joined us on the call today. This concludes the Teleflex Inc. fourth quarter 2016 earnings conference call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.